Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the RSI. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note, that this conference call is being recorded today, May 13th, 2021. I will now turn the call over to Lauren Seiler, Associate Vice President of Investor Relations and Development. Please go ahead, ma'am.
Lauren Seiler: Thank you, operator and good afternoon. By now, everyone should have access to our first quarter 2021 earnings release. It can be found under the heading, Financials quarterly results in the Investors section of the RSI website at rushstreetinteractive.com. Some of our comments will be forward-looking statements within the meaning of the Federal Securities laws. Forward-looking statements are not statements of historical facts and are usually identified by the use of words such as will, expect, should or other similar phrases, and are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We assume no responsibility for updating any forward-looking statements. Therefore, you should exercise caution in interpreting and relying on them. We refer you to the SEC filings for more detailed discussion of the risks that could impact our future operating results and financial condition. During the call, we will discuss our non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures than most directly comparable GAAP measure is available in our first quarter 2021 earnings release, which is available on the Investors section of the RSI website at www.rushstreetinteractive.com. Also on the call today, we have; Greg Carlin, Chief Executive Officer; Richard Schwartz, President; and Kyle Sauers, Chief Financial Officer. We will first provide some opening remarks and then open the call to question. With that, I'll turn the call over to Greg.
Greg Carlin: Thanks, Lauren. And good afternoon, everyone. Welcome to our first quarter 2021 earnings call. We are off to a great start in 2021, posting revenue of $111.8 million during the first quarter, which represents an increase of 218% year-over-year. We're also pleased with our quarter-over-quarter growth, which is underpinned by stable online casino revenue. This strong result includes sequential growth in both the markets that were live in Q4, along with a positive contribution from the combination of our recently launched markets of Michigan, Virginia and Iowa. We are now operating in a total of 11 jurisdictions, including the 4 largest US online casino markets, and 1 international market, Colombia, where we offer online casino and sports betting. Adjusted EBITDA loss was $15.1 million for the quarter, and US average revenue per monthly active user, ARPMAU of $302 was up 21% year-over-year, and monthly active users were up 166%. As we discussed on our last call, we increased marketing investment in Q1 with the continued focus on payback period. And we expect our increased marketing investments will drive meaningful revenue growth and long-term value. On the legalization front, we continue to see strong interest at the state level to legalize online gaming. During the quarter, New York, Maryland and Arizona all passed bills legalizing sports betting. In Maryland and Arizona, there are multiple opportunities for securing market access, and we are working to be able to operate in both markets when they go live. In New York, Rush Street Interactive has operated the most successful commercial retail sportsbook in the state. And we're excited about the upcoming process for New York to select their preferred operating partners for mobile sports betting. We're also preparing to enter the market in Canada, which has made great progress legalizing sports betting and creating an open market framework for regulating online casino. Neil and I were part of the team that developed and managed the Fallsview Casino in Niagara Falls, which is one of the most successful tourist attractions in the country, given similarities in market characteristics, and on the heels of a strong start, Michigan where online casino was also available from day one. We are very excited about entering a market that is leading with an online casino which plays to our strengths. While regulatory momentum in new states continues to begin with online sports betting, as expected, we continue to see strong momentum for online casino in several jurisdictions that are looking for additional revenue sources to funded expanded budgets. Online casino generates more tax revenue than sports betting in states where both are legal. And we anticipate that many states that have legalized sports betting will consider legalizing online casino as well. Importantly, we have the infrastructure in place to quickly capitalize on and capture the market when able. Turning now to our guidance. As we indicated in our earnings press release, we're very encouraged by our Q1 results and our strong start to Q2 and accordingly, we're raising our 2021 revenue guidance figure to be between $440 million and $480 million, an increase of $20 million at the midpoint. The $460 million midpoint of range would represent an increase of 65% over our 2020 revenues of $278.5 million. RSI ended the quarter with $363 million of cash, no debt and no outstanding warrants. The strength of our balance sheet and position in the marketplace set us up well for continued success. We look forward to executing in future quarters and years as we progress our goals of growing our existing markets, securing access in new markets, improving our technology stack, and customer experience, as well as continuing to evaluate potential acquisitions and strategic partnerships. We believe we are well positioned to take advantage of the substantial market opportunity in front of us. I will now turn the call over to our President, Richard Schwartz, who'll describe our operating metrics in more detail.
Richard Schwartz: Thanks, Greg. As Greg noted, we continue to grow our player base nicely in the first quarter, aided by the opening of some new markets. We've talked a lot about our strong marketing payback metrics in the past, and have highlighted New Jersey as a more mature market. With good data that supports our strong returns on invested capital. As more markets mature, we are seeing cohort data from other markets telling the same story. In fact, when you include all of our states measure by net gaming revenue, we are seeing average payback period on marketing spend within six months. Additionally, we're delivering 3.5 times payback returns from players after only one year. And over 5.5 times payback returns from players after three years. We feel these results validate the quality of our operations. These results also validated our strategy to increase marketing spend to focus on driving more high quality players to our platforms, the type of players who are loyal to us, because they like our product and the way we treat them. And not because we are over bonusing them for short-term market share. We increased our marketing spend sequentially by 80% during the quarter, which was driven in large part by our launch in Michigan. And we expect to continue or increase this level of investment as the year goes on. The pace and timing of marketing increases will ultimately depend on when new markets go live, the sports calendar, and where we can find and deliver strong economics from our marketing investments. Something we've proven to do well. As we continue to increase marketing spend, which in Q1 was only 36% of revenue. We can further extend our 6 month payback period to drive accelerated growth in player acquisition. I'd like to turn back to some state-specific details. We are particularly happy with how our results have been trending in the newly launched State of Michigan. While it is still in the early innings as more players are exposed to and enjoy the BetRivers experience. We are growing casino revenue significantly. In fact, our gross gaming revenue increased in March by over 60% on a per day basis when compared to January. That strong momentum has continued and as our gross gaming revenue has been up over 20% on a per day basis thus far in Q2 compared to Q1. This is meaningful growth considering the starting player databases and the aggressive volume of marketing spend we are competing against. These early results in Michigan not only serve to validate the industry views of a larger than expected and increasing total addressable market, but also demonstrates the success of our operational strategy of early market entry with a casino-led focus in attracting and retaining high quality customers. In West Virginia, which is materially a smaller market, we have seen good reception to our recently launched casino and are growing consistently since we launched in that market. In Illinois, the state has returned to in-person registration for new online players. While this clearly has a negative impact on the total new player additions in the Illinois market, we think it will give us the opportunity to highlight the quality of our existing retention strategies, while simultaneously improving our products. I'd also like to touch on the Colombian market. This has been a nice contributor for us and while it was a mid-single digit percentage of our total revenue last year, and in Q1, there is significant potential for future growth. Just as important, our platform and operations resonate well in the Colombian market and offers a great jumping off point for other markets in Latin America. The last market I'd like to comment on is Pennsylvania, which has continued to show positive overall market growth. While this market has seen an increase in competition over recent quarters, both from new entrants and more aggressive marketing spend from existing entrants, we're very proud of the fact that we've continued to grow revenues and retain a 30% share of the online slot revenues again during the first quarter. This further demonstrates how we attract and retain loyal players, with our focus on delivering a high quality player experience. On the technology front, as planned, I'm pleased to report that we recently push out a major iOS update to improve user experience to all of our sportsbook-only markets, including Illinois, Iowa, Colorado and Virginia. While it's still early reception among our players has been very strong. For those who had the chance to use it, they wouldn't notice much improved site navigation, shorter transition times and overall stronger usability and performance. On last quarter's call, we discussed Google's favorable change in policy to allow gaming applications in the Google Play Store. One of the benefits of owning our own technology is that we were able to act quickly to meet all of Google's requirements and submit for approval, our BetRivers Android apps. We are now excited to have that BetRivers available for Android users in the App store for all states that are allowing it. In fact, Google is just now allowing applications from Michigan and West Virginia. So we are working diligently to be live in those markets with Android apps in the Google Play Store. As an update to the iOS app in development for our combined casino and sportsbook markets, we continue to be on track for launch in the second half of this year. While the strength of our products has been demonstrated in markets like Pennsylvania and Michigan without an iOS app, we believe this will enhance the user experience while also improving our player acquisition and conversion rates. Our commitment to user experience and customer service remains a key advantage for RSI, which we believe will continue to benefit us as we look to expand and constantly improve our proprietary platform and improve how we acquire and retain new players. With that, I'll turn the call over to Kyle.
Kyle Sauers: Thanks, Richard. Turning to our financial results. As Greg noted, we posted first quarter revenue of $111.8 million, representing an increase of 218% year-over-year. Adjusted EBITDA loss for the first quarter of 2021 was $15.1 million. Our adjusted EBITDA for the quarter removes the effects of share-based compensation, the change in fair value of earnout interests liability and the change in fair value of outstanding warrants from the beginning of the quarter until the point at which the warrants were redeemed or expired. After adjusting for share-based comp, our cost of revenue was $78.8 million during the first quarter or 70.4% of revenue, up from $22.4 million a year ago. Advertising and promotions expense was $40.5 million during the first quarter of 2021 compared to $8.5 million in the prior year quarter. G&A was $7.6 million for the first quarter of 2021 compared to $3.3 million a year ago. It's worth noting that the adjustments I mentioned regarding the change in earnout liability and change in warrant liability will not continue after this first quarter, as we no longer have any outstanding warrants or earnout obligation. Also, our share-based compensation will reduce significantly starting next quarter and is expected to be approximately $3.5 million for each of the next three quarters. We highlighted in our press release, the successful redemption of our public warrants. On February 22nd, we announced the redemption and on March 24th, all outstanding warrants were cancelled. A total of $11.4 million warrants were exercised or about 99.5% of the total, generating cash proceeds of $131.6 million for RSI. In addition during March, all $6,675,000 million private placement and working capital warrants were converted on a cashless basis into approximately 2.6 million Class A shares. Further simplifying our capital structure as we have no warrants outstanding as of the end of the quarter. Following the completion of the warrant redemption, RSI ended the quarter with $363 million in unrestricted cash on the balance sheet with no debt. We believe this puts us in a strong position to execute on our strategy, launch quickly in new markets when available and continue to increase spending on marketing to attract new players. As Greg mentioned, we're increasing our 2021 guidance to a full year revenue range of between $440 million and $480 million or $460 million at the midpoint. This increase reflects our confidence in the continued growth and the strong trends we've been seeing so far during 2021. And at the midpoint would be an increase of 65% over last year's revenue number. And as a reminder, our guidance does not include any revenue contribution from jurisdictions that are not live as of today. Regarding marketing spend, we continue to expect to have significant increases in our marketing investments on a year-over-year basis in 2021, as we invest in attracting new players in both our new and our existing markets, and as such, we continue to expect a loss at the adjusted EBITDA line for the short-term. And with that operator, we can open the line for questions.
Operator: Thank you, sir. [Operator Instructions] And your first question comes from the line of Ryan Sigdahl from Craig-Hallum Capital. Your line is open.
Ryan Sigdahl: Good afternoon, guys. Congrats on the nice results. First, just on the integrated Android app launch in Pennsylvania, I know it's fairly recently, so a short period of time, but how has performance changed if at all pre-app versus post-app? And then secondly, can you walk through kind of the main features that you're getting good feedback thereon?
Richard Schwartz: Sure. This is Richard. Yes. So the app is trending really great feedback as we noted, in particular, the average time for a player to place a bet has decreased by around 20 seconds, which is directly correlated to the improved app speed and performance. We've also noted that, we've seen about a 40% decrease in player contacts related to betting on their iOS app with us, which is another strong indicator of improved performance for the players. Across the Board, when a user uses the product as many times, he reached out to us and said, “Hey, this thing is just incredibly fast now, it's much stronger than it was. Very appreciative that we were able to make those changes”. So all in all, I think it was a very positive response. We haven't been able to really quantify it beyond the points I just shared with you a minute ago.
Ryan Sigdahl: And then on the iOS app, I know you said again, kind of reiterated second half timing. Anyway to get a little more granular there, I guess early two half, late two half and then kind of talk to the progress there, I guess. And what's taking kind of tell second half to get that out?
Richard Schwartz: Well, I think because we've seen the success that we're generating in strong numbers in Pennsylvania and Michigan without an iOS app, has really given us the confidence not to rush it to market, and to really take the time to make sure it's done well. And so, again, I think the only time we're willing to share is really latter half of this year. And I'll just make a note that we are taking some time to make sure that when we do launch it, it does achieve the quality that we expect it to.
Ryan Sigdahl: Great. Then just on Illinois, so mobile registration ended there. Do you think that's a positive or negative for Rush Street Interactive, given you guys do have a better physical location than many of your competitors near Chicago?
Kyle Sauers: Well, I'll take that one. Ryan, how are you doing? What I say is that, you know we had strong customer acquisition during the Governor's order suspending in-person registration. We've definitely seen a drop in signups since the market reverted back to in-person. However, to your point, I think we do have a great location to drive in-person signups and we continue to - we expect to continue to be a top operator in the online market.
Ryan Sigdahl: Great. Thanks, guys. I'll hop back in the queue. Good luck.
Operator: And your next question comes from the line of Stephen Grambling from Goldman Sachs. Your line is open.
Stephen Grambling: Hey, good afternoon. Thanks for taking the questions. And so I guess first on the guidance increase, can you just give us any updated thoughts around the mix of ARPMAU and monthly you know average users and or any seasonality to think through for the rest of the year?
Kyle Sauers: Sure. So on the first point, the - this is Kyle, by the way, you know, we continue to believe that will attract the kind of high quality loyal players to the platform, as we've talked about in the past. That's a big part of why our average revenue per player is so strong. And obviously there's going to be variability in that ARPMAU over time. The timing of new market launches, you know what, at what point those are happening, the maturity of markets, seasonality can impact that as well, particularly in sports, obviously. And then whether new markets are in the longer-term, whether those are casino sports or both. But I'd say in general, I think you can expect that more of the growth is going to come from adding new players to the platform, both in existing and new markets than it is an expansion of the ARPMAU. And then second question on seasonality. You know, we're - we have a bigger portion of our revenue mix that is, is casino, which has less seasonality. We do expect some seasonality on the casino side in Q2 and Q3 in the summer months, but not nearly as impactful as it would be to sports, where obviously, you have a much lower expectation for sports betting in Q2 and Q3 than you do in a Q4 when football season comes back around.
Stephen Grambling: And I guess one bigger picture question, but we - this is something that the lost relating to the quarter that we've gotten from investors. How do you think about the B2B and B2B2C versus B2C margins long-term?
Kyle Sauers: Yeah, so the B2B2C that you're referencing I'm assuming is the Pennsylvania and Illinois markets where those market access deals are structured a little differently in PA and Illinois, than our other markets. But just to be clear, the way we operate the business there, the way we attract the players off of the platform provide the user experience is the same in all markets. To your point, though, the gross margins in those two states can vary a bit from period-to-period. And are a little bit lower than the B2C or all the other markets. And then, the EBITDA margins are a bit lower and expected to be a bit lower in long-term in those two markets. So, part of our expectation is that, as we continue to grow in new markets, since Pennsylvania and Illinois are bigger for us today, that'll be a big opportunity for us to expand the margins over time as that revenue mix shifts to the newer states where we have great success, you know, example, like we're seeing in Michigan.
Stephen Grambling: Got it. And maybe one quick follow-up on that. I mean, is there - does it leverage differently I mean that market is that B2B2C markets are still growing fairly rapidly. So how does the flow through look there versus these other markets?
Kyle Sauers: Yeah, there's more leverage - so there's more upfront investments in other states that we've entered since Illinois and PA. And therefore, there's also a bit longer-term, more leverage in those markets than there is in PA and Illinois. But PA and Illinois offer a nice consistent margins force that aren't going to have the same level of leverage over time on the EBITDA line.
Stephen Grambling: Got it. Thanks. I'll jump back in the queue.
Operator: And your next question comes from the line of Bernie McTernan from Needham & Company. Your line is open.
Bernie McTernan: Hi, good afternoon. Thanks for taking the question. I was just wondering if you could just comment on the Michigan iGaming share, how it increased sequentially throughout the quarter according to the state data? Was there any particular drivers that led to that? Like, did you notice increased marketing spend or efficiency throughout the quarter? Or if there's any other kind of underlying trends that were driving that?
Richard Schwartz: Yeah, this is Richard, I'll take that one. So, really comes down to just exposing a higher percentage of players to the quality of our product and our service. And we find is that as indicated with our strong payback percentages timelines, the new players experience us, they like the quality of experience and they stay longer with us. So we always have this belief that, if more players were exposed to the products early, they would have an understanding of the differentiation that our product offers compared to the other products in the market. And that when it came to choosing a wallet of their choice and a brand of their choice, they will stay with us, because they liked the way we treat them. And we're starting to see that in Michigan where we are spending and marketing in a way that's significant. But I think we're still certainly being an outspent by some other companies in the marketplace. But we're seeing the results are still proving that players want to play with a brand they trust, and with the quality of the product experience that's unique differentiated and without in fact they find our product to achieve those goals for them.
Bernie McTernan: Got it. And was that new player growth in Michigan or just increasing wallet share within the existing players that you might have gotten you know in January?
Richard Schwartz: So what we've referenced on this call was again, the growth that we're seeing month-over-month and you know from January to March and now we've seen even a 20% increase so far in April compared - Q2 compared to Q1. It's really coming down to new players coming in the door. Having an experience with us and being able to stay loyal to us you know and generate higher revenues as you know, casino generates a much larger margin for us and for the industry than casino - than sportsbook does. So we're getting a great opportunity in Michigan by focusing on market that leads by casino with strong unit economics been able to acquire a high quality player base there. And mostly it's you know new players coming in throughout every month. But we're having a very good retention of existing players that are already there from the very beginning.
Bernie McTernan: Got it. And then just lastly for me, as we're moving into a lighter sports calendar here, can you talk about just the level of competition you're anticipating on the iCasino side? Is this an opportunity for you guys to take share? Or do you expect it or do you expect you know marketing dollars and promotions for maybe some of the daily fancy first providers to shift from online sports betting to iCasino so is it you know an opportunity or a threat?
Richard Schwartz: I think it's an opportunity, because we're able to acquire players through channels. We do cross sell sportsbook players to Casino in the same way that others do. But what's noteworthy is that we don't rely on that as a primary source of our consumer traffic. So we do have opportunities to go directly to casino players with our brand and our product and acquire players directly who have no interest in sports betting. So I think as the seasonality in sports diminishes, we will still have a primary source to traffic available for us and to grow our player base through casino.
Bernie McTernan: Makes sense. Thanks for taking the questions.
Richard Schwartz: Thank you.
Operator: And our next question comes from the line of Jed Kelly from Oppenheimer & Company. Your line is open.
Jed Kelly: Hey guys. This is actually Sam in for Jed. Two questions if I could. Richard, you talked about the strong Michigan data by bringing in the new players and your overall MAUs been solid. Could you maybe break out where you've been seeing the majority of new customers from? Like, are you seeing any benefit from OSB cross seller that mainly like the middle aged Tiger might that you guys talked about before? And then, Kyle, can you maybe give us some color on the 1Q gross margins. Is the sequential increase that your result of lesser B2B2C revenue mix? Better return promotions or a little of both?
Richard Schwartz: So I'll start first then Kyle could take the second question as is noted. Yes, in terms of Michigan, we're really pleased in Michigan, because I think without a database to start with, we've been able to grow at a faster rate and achieve a higher market share that others have to start it from a similar position without having a starting database. And as I said, our strategy really has been focused pretty heavily on the casino category, given that it has stronger unit economics. When a player plays both casino and sports, as we noted, you know they generate nearly 10% of revenues that someone just starts sports betting. So it's in our interest to have you know players playing both. But we also noticed that casino-only players are still 5 times more valuable than a sportsbook-only player is. So we have targeted casino players because their economics and the quality of our brand and our service really appeals to that audience. And as you see in our investor deck, we've also seen overall that company mix about 53% of our casino players are female, which is an indication that we are attracted a diverse set of demographic and not really focused only on the male audience that typically plays sportsbook.
Kyle Sauers: Yeah, and I'll jump on that second one then. Appreciate you noticing the, although modest improvement in gross margin it's an improvement there. And I think that goes back to what we've said. And I think you made this point is that, as our mix shifts towards other new jurisdictions outside of Pennsylvania and Illinois that that'll help us to expand both the gross margins and then over time our EBITDA margins as well. So it's largely a mixed benefit that we saw there sequentially into Q1.
Greg Carlin: Right. And one other point, Kyle is that, if you look at the tax rates in Pennsylvania on casino there, you know they tend to be higher than other jurisdictions. So that impacts the gross margin as well.
Jed Kelly: Right. Okay, great. Thanks, guys.
Operator: And our next question comes from the line of David Chad from Jefferies. Your line is open.
Cassandra Lee: Hi, this is Cassandra. Can I do ask about, I'm just asking then and asking on behalf of David Katz. Thank you for taking my question. So in terms of products, you currently have multiple apps for different states. Can you talk about when would you potentially roll out one single app across multiple states or a single wallet product?
Richard Schwartz: Sure. So that's something that we have on our roadmap for a while. But we've actually decided to prioritize some other things, because at the end of the day, it's been very helpful for us, we're going to launch quickly in new markets, we have a track record of launching early in a wide range of markets over the last couple of years, in part, because we focus very narrowly on what that markets requirements are. And we did a little things that help I think to create a unified experience early for a player when we're getting approvals, we need to launch as the markets evolve and mature and as the Wire Act, it should legally get more settled, we think it becomes easier to create a unified app, it does include casino games as well as sportsbook without worrying about Wire Act considerations. So I thought it was early on, let's focus on getting to market quickly. And over time, it will be something we're able to unify especially now that we're getting more comfortable with the Wire Act situation. That is something that we have planned in the future.
Cassandra Lee: Got it. And if I may add in one more. So other operators can talk about cost of acquisitions, there's been kind of wide range from $100 to maybe $600 or more. Has there been any change in how you think about marketing spend for customers and where you might fall on that range?
Richard Schwartz: So we focus very heavily on our return on invested capital, and how long it takes us to get a return on that player acquisition, which is noted on this call, takes average fall cohorts since 2017 and across our company in the US has been six months. So, for us, we don't disclose specific CPAs as there is a significant variation between markets dependent on a wide range of factors such as which product verticals are allowed, is it casino, sports book, both, are there number of competitors in the market, the type and range of media assets that are available in the market. So rather than sort of looking at things with a predefined CPA focus, we look at things from a standpoint of how can we get a return on our investment? How can we bring in a high quality players that have long-term profitability goals for us? So I think that's something that we - that's how we approach it.
Cassandra Lee: Got it. Thank you very much.
Richard Schwartz: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Mike Hickey from the benchmark company. Your line is open.
Mike Hickey: Nice. Hey, Greg, Richard, Kyle. I hope you guys are good. Congrats on a strong quarter. Here is on I guess the reopening of retail casinos here guys. Looks like and Caesars and MGM got cleared sort of full capacity for Vegas. This morning I saw two casinos in Philadelphia will be fully cleared of the restrictions by June 11th. So I'm wondering what you think the impact would be for the reopening of retail in particular with [technical difficulty]?
Greg Carlin: Sure, I think that if you look at the market adoption in Michigan, it was very quick, you know quicker than in Pennsylvania, Pennsylvania is quicker than New Jersey. I think folks are just getting more comfortable with playing online. And it's just another activity. So there we're seeing people go to the casinos as well as playing online. And so we really don't think it's going to have much of an impact on online revenues.
Mike Hickey: I'm curious on social functionality within the app it seems like that sort of emerging narrative. That's pretty exciting in terms of retention and engagement and monetization. I think you guys have been early in terms of developing that social piece to your apps. So just sort of curious where you are on social, your experience there and how important you think it is for all those key metrics?
Richard Schwartz: Yeah, there are lot of ways to approach community features and developing them or designing them. As you noted, we pioneered a lot of these features within the casino vertical and had success there. We do think it has applicability in sports betting as long as it's executed in a way that provides value to the player. And to be able to achieve that you have to really understand the insights of the player, of a gambler mindset. And you have to be able to innovate and have your own technology, proprietary knowledge to build things that you - that are there that you want. And then ultimately, you got to deliver value. So I think those are things that are exciting for us and we plan to at some point in the future to bring out some additional features in this area. But again, I think it's something that's easier as a concept to embrace, but actually much more difficult to execute on in a way that provides value to the players.
Mike Hickey: Great, thank you. One quick one. I think you're getting the last question so. I'll throw a couple more. Illinois, just a clarification, if I have your one in Chicago, and I've already downloaded your app. Can I switch to the competitors' app without going in-person registration within that perspective casino? Or am I limited from doing that? And so you know I guess -
Greg Carlin: The Governor suspended in-person registration, I believe on April, what day was it? April 3rd or 6th? And so, if you haven't signed up online for any other apps in the state, you'll have to go to those casinos to sign up.
Mike Hickey: Okay, thank you. Last question. New York, obviously your leader in that market of sports betting retail. You know pretty interesting scenario here. I'm guessing you're sort of limited in terms you know of visibility. But how do you - I mean, what's your sort of edge you're thinking in getting access there? And, you know, do you think you'd be successful, I guess also at the moment?
Greg Carlin: Sure, sure. Well, you know, we're sort of watching and waiting for you know more information like everybody else. But I will say you know we've got a very strong track record of success in New York, we helped to achieve the state's goals in both authorization of land-based casinos upstate, in Schenectady. And you know further we're seeing success in New York retail sports betting. So you know we're sort of watching and waiting for clarity on the process. But we're very excited to participate. And we've had you know many productive discussions with other interested parties.
Mike Hickey: Thanks, guys. Best of luck.
Operator: And I am showing no further questions at this time. I will now turn it back to Mr. Greg Carlin for the closing remarks.
Greg Carlin: Thank you, operator. I'm very proud of our team and the results we posted for the quarter. When you look at our low cash burn and our revenue relative to marketing spend, we compare very favorably to our competitive set. We approach each market differently and we're continually measuring and adjusting our spend and channel mix with the goal of maximizing our long-term return on marketing investment. One thing's for sure, when you look at the size of our addressable market, new information like the strong start in Michigan and the opportunity in Canada continue to validate that the market is larger than we thought just six months ago. As we continue to grow our existing business and launch new markets, there are strong tailwinds for the foreseeable future. And we've never felt better about our long-term prospects for revenue and profit generation. Want to thank everybody for participating on the call and we'll talk to you next quarter. Thank you.